Operator: Welcome to the Flowserve 2015 Third Quarter Earnings Call. My name is Christine, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. I will now turn the call over to Jay Roueche, Vice President, Investor Relations and Treasurer. You may begin.
John E. Roueche - Treasurer & Vice President-Investor Relations: Thank you, operator. And good morning, everyone. We appreciate you participating in Flowserve's 2015 third quarter earnings call. Joining me on the call this morning are Mark Blinn, Flowserve's President and Chief Executive Officer; Tom Pajonas, Executive Vice President and Chief Operating Officer; and Karyn Ovelmen, Executive Vice President and Chief Financial Officer. Following our prepared comments, we will open this call up to your questions. And as a reminder, this event is being webcast and an audio replay will be available. Additionally, please be aware our earnings materials do, in this call will, include certain non-GAAP measures. Please review the reconciliation of our adjusted metrics to our reported results prepared in accordance with Generally Accepted Accounting Principles, which can be found both in our press release and our earnings presentation. Please also note that this call and our associated earnings materials contain forward-looking statements, which are based upon forecasts, expectations, and other information available to management as of October 30, 2015. These statements involve numerous risks and uncertainties, including many that are beyond the company's control. And except to the extent required by applicable law, Flowserve undertakes no obligation and disclaims any duty to update any of these forward-looking statements. We encourage you to fully review our Safe Harbor disclosures contained in yesterday's third quarter materials, as well as our filings with the Securities and Exchange Commission, which are all available on our website at flowserve.com in the Investor Relations' section. I'd now like to turn the call over to Mark Blinn, Flowserve's President and Chief Executive Officer, for his prepared comments.
Mark A. Blinn - President and Chief Executive Officer: Thank you, Jay. And good morning, everyone. During the third quarter, Flowserve delivered solid operating performance. This came in the midst of the persistent macroeconomic and industry-wide challenges we've faced all year. The continued weakness in many of our end markets has substantially impacted the timing of customer spending across the industry. As a result, there is increased uncertainty in the marketplace and a tighter pricing environment on the projects that do proceed. Further, most emerging regions, particularly Latin America, remained stagnant. And with our global revenue base, the stronger U.S. dollar continues to weigh on reported earnings. Given this uncertainty, we're taking aggressive action to reduce our cost structure and offset near-term market weakness. But more broadly, this current market downturn also provides us the opportunity to accelerate efforts to drive permanent efficiency improvements across our business to better position closer for the long term. Against this backdrop, Flowserve continues to perform well operationally. Our employees remain focused on serving our customers with excellence. This dedication is evidenced by solid execution on our existing backlog and our ability to deliver on our commitments the way our customers expect. While opportunity always remains to improve on-time delivery, I am pleased with our consistent 90% plus on-time delivery performance, our approximate 5% in past-due backlog, and our operational performance. Simply put, the Flowserve operating platform continues to operate at a high level. For example, our aftermarket franchise demonstrated the relative resiliency that we expect, despite continued maintenance deferrals in some of our markets and lower parts and spares activity tied to new units. Organic aftermarket bookings and sales were only down modestly constant currency. We expect much of our customers' delayed and deferred activity to return as maintenance budgets stabilize. As we have demonstrated over the years, we will continue to enhance our aftermarket capabilities through the cycle to increase our installed base capture and market share. Given the cyclical nature of our markets, we remain focused on controlling what we can. Disciplined cost control is embedded in our culture, as is our strategic approach to optimize our business and simplify the organization. We have made significant progress on our previously-announced cost efficiency efforts. And we are pleased that the expected return from our previously-announced $100 million realignment investment has increased. We're also pursuing at least $25 million of additional investment to further improve our platform. Together, we now expect these actions to generate approximately $125 million of annual structural cost savings for the one-time cost of approximately $125 million. Karyn will cover more on the timing of our restructuring actions as well as our third quarter financial results. But I'll note that I was pleased with the resilient margin performance this quarter, even in a declining revenue environment. When we look back at the second quarter, crude oil had seemingly found a home during that period in the $55 per barrel to $60 per barrel range. As you're aware, however, after July 4, and continuing through much of the quarter, crude prices suffered another round of declines, even falling below $40 per barrel in late August. This volatility increased uncertainty further within our industry. In turn, this impacted both the timing of bookings and customers' willingness to accept shipments. This climate is reflected when reviewing our regional markets. Looking at our geographies, excluding SIHI, and on a constant currency basis for consistency, bookings were down in all regions with the exception of Asia-Pacific, which was up modestly. North America represented the largest bookings decline in dollar terms versus a tough 2014 compare period. Last year, oil and gas activity was strong in our mid and downstream markets, and chemical orders were enhanced by the new cracker facilities in the region. In this region's current market, we see increased opportunities in the power industry, and are beginning to work on a number of chemical feed projects. For the second consecutive quarter, European bookings declined, approximately 18.5% this period, while the regions revenue increased, representing the only geography that grew year-over-year sales this quarter. Russia continues to struggle with the current oil price levels, and the general European recovery has proven slow, and the economy remains fragile. Asia-Pacific went the other direction, as it increased bookings year-over-year, but also saw the largest revenue decline on a percentage basis this quarter. The slowing economy in China is certainly having an impact on the region, although power opportunities remain. Our opportunity in the region remains increasing our presence and building our installed base. And Latin American bookings were by far the most impacted on a percentage basis, down nearly 30% year-over-year. This resulted from challenges faced by certain customers in the oil-driven economies of Brazil and Venezuela. We expect the petro economies to remain challenged while oil prices are this depressed. But we do see pockets of opportunity in some countries in the region, such as Mexico and Argentina. While bookings during the quarter were down in the Middle East, we do see near-term prospects in the region, as many of our clients here are investing through the cycle, particularly in Kingdom, Qatar and Kuwait. Some of the opportunities on the horizon include refining projects as well as power and desal plants. While the current business environment remains uncertain, and near-term visibility is limited, we do continue to believe that the long-term secular growth trends in all our end-markets remain very much intact based on end-user demand. Infrastructure in developed regions require service for replacement activities and emerging markets need to build more. The Flowserve platform is operating well, and we have opportunities to enhance it. Current delays and deferrals will create a recovery cycle in the future. We are positioning the company now for long-term growth, and we have the experience navigating difficult markets. And as evidenced by our current initiatives, cost control is embedded in our culture. This culture is coupled with our highly disciplined approach to capital allocation. Flowserve has been a consistent cash generator even in periods of cyclical slowdowns. We are committed to maintaining flexibility through the cycle, which enables us to pursue organic and acquisitive growth, pursue realignment and restructuring initiatives, and return capital to shareholders through dividends and share repurchases. I'm confident that the internal actions we implemented since the last down cycle, combined with our current efforts and our proven operational performance, will position Flowserve well for both the current market and for when markets recover. Flowserve is a leader in our industry and our commitment remains to deliver long-term value for our customers and shareholders. Let me now turn the call over to Tom.
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: Thanks, Mark. And good morning, everyone. I'm also pleased that we are expecting to generate a stronger return on our original investment dollars than originally expected on our cost efficiency measures. As part of this effort, we are driving towards reducing our manufacturing cost base and achieving higher absorption within our facilities. Our overall plan should position Flowserve to better serve our customers and will include product transfers, facility closures, and certain head count reductions. In addition, the integration of SIHI is also progressing well, including facility rationalization and transfer some of Flowserve's activities into SIHI sites. SIHI's bookings for the year have held up well as the run rate nature of much of its business help ensure only a mid single-digit year-over-year decline in constant currency bookings. While executing our SIHI's integration and the strategic realignment actions across Flowserve, our employees have remained motivated and focused on the customer. Turning to our end markets, there are many challenges currently across our diverse geographical and industry exposures, but opportunities exist as well, as evidenced by $1.06 billion of bookings, including SIHI. To break it down, oil and gas represents roughly 34%, with chemical at 25%, power at 14%, and general industries at roughly 23%. We have seen significant year-over-year declines in our project bookings as we continue to expect customers will remain deliberate and lengthen the bidding process and the time span before reaching the final investment decision. Additionally, project pricing levels have intensified. While we have remained disciplined, we expect part of our planned cost savings will help reduce the effect of lower market activity and the impact on margin. We also continue to actively pursue enterprise frame agreements, product bundling opportunities, and value-creating initiatives such as reliability models with our customers in order to drive bookings. Looking at our served industries. In the oil and gas, the market remains challenged. European and Latin America oil and gas markets face headwinds that are not expected to cease in the near term. We also see maintenance deferrals occurring, as refiners continue to operate at high levels. However, some opportunities exist in this challenged market. There are pockets of oil and gas proposal activity, such as the Middle East and selected Asian regions, and refineries in Malaysia and refining in Saudi Arabia. North America LNG plants, midstream oil and gas, and oil storage, however, represent opportunities. In Mexico, its liberalization of the oil industry should also be positive in the future. The ongoing activity for LNG export out of the U.S. is another example of a new developing market where we participate. Chemical bookings were roughly flat in the third quarter on an organic constant currency basis. And we continue to see opportunities on the horizon from the derivative chemical facilities related to the first wave of ethylene crackers in North America. Additionally, we also expect to see the second wave of ethylene crackers in the future based upon recent E&C awards, with the process potentially starting sometime next year. Power bookings were up 2% in the third quarter on an organic constant currency basis, where we see combined cycle power activity moving forward, particularly in North America, Asia-Pacific, and Eastern Europe. With increased environmental regulation and the related closure of coal-powered facilities, this trend towards combined cycle should continue to drive opportunity for us. And we also expect increased activity related to environmental-driven upgrades on the coal capacity that remains. Flowserve is also active in most nuclear markets. China continues to pursue ambitious nuclear capacity goals where we regularly participate. And Japan has restarted some of its idle nuclear plants, which provides us opportunity for maintenance and upgrade activity. Finally, desalination markets have improved recently and concentrated solar power projects are emerging in Africa and North America. We have escalated our focus on new product development over the last several months in areas such as materials and coatings, multiphase flow, fugitive emission, and growing areas of diagnostics and its impact on reliability. These initiatives have resulted in new wireless control valves, water pumps with improved efficiency designed to reduce the total cost of ownership, and cryogenic valve applications to name a few. In summary, although we expect a tough market for the near term, we have built a solid base, a rigorous plan, and the ability to pursue opportunities where they exist. With that overview, let me now turn it over to Karyn.
Karyn F. Ovelmen - Chief Financial Officer & Executive Vice President: Thank you, Tom. And good morning, everyone. Let me now focus the call on our financial highlights from the 2015 third quarter and our near-term outlook. As Mark and Tom indicated, the challenging market conditions from the first half of the year continued in the third quarter. Accordingly, during the third quarter, our constant currency bookings declined 14.6% year-over-year, excluding SIHI's contribution of $70 million. Original equipment orders were primarily affected, considering our $460 million of organic aftermarket bookings were down only 2% constant currency, which demonstrates the type of resiliency we typically expect from this franchise, especially considering some of the ongoing delays in maintenance activity. Total third quarter sales were $1.1 billion, which included $74 million from SIHI. Excluding SIHI, sales were down 5.6% constant currency compared to last year. Again, our aftermarket business held up better as sales declined only 2.3% on an organic constant currency basis in the third quarter. Year-to-date, Flowserve's constant currency revenues increased 2.8% through September 30 compared to 2014 levels. Looking at our margins, strong execution, aftermarket mix, and cost control delivered adjusted gross and operating margin increases of 110 basis points and 50 basis points, respectively, compared to the 2014 third quarter. We continue to focus on effectively managing SG&A with expenses down $27.9 million in the third quarter, excluding SIHI and realignment. As we position our business for current market conditions, our SG&A reduction reflected tight cost control and benefited from a strong dollar and reduced incentive compensation to reflect our alignment with shareholders. Our third quarter adjusted tax rate of approximately 28.8% was slightly lower than our full-year guidance rate of 30% to 31%. On a reported basis, tax appears elevated at 35.5%, as a result of one-off non-cash valuation allowance we took on certain deferred tax assets, reflecting ongoing challenges in Latin America. Third quarter adjusted EPS of $0.81 includes $0.06 per share of negative currency translation and $0.03 of bad debt write-off, due primarily to a customer's bankruptcy, and excludes $0.11 per share of adjusted items comprised of $0.02 of below the line currency impact, $0.01 of realignment expenses, and $0.08 for the non-cash valuation allowance on the Latin American deferred tax asset. SIHI was essentially breakeven during the 2015 third quarter, even after incurring over $6 million of purchase price accounting, realignment and acquisition-related expenses. Altogether, reported EPS was $0.70 for the quarter. Turning to cash flows. Flowserve generated total operating cash flow of $113 million in the 2015 third quarter or approximately $0.85 per share. We continue to invest in organic growth with $25 million in capital expenditures during the period. Similar to prior cycles, with slower end market activity, we will continue to make disciplined investments in our business to support long-term growth. We still expect capital expenditures in the $170 million to $180 million range for 2015, substantially higher than our maintenance CapEx requirements, primarily due to planned investment on the new Chinese valve facility, which will increase our low cost manufacturing capabilities, as well as the purchase of a long-term license, which will provide good opportunities to increase our aftermarket business. Returning capital to shareholders was another key priority during the quarter as we repurchased approximately 2.4 million Flowserve shares, which is almost equivalent to the number of shares we purchased in the first half of the year. During the first nine months of 2015, we returned nearly $320 million to shareholders through dividends and share repurchases. Approximately $215 million remains available under our current share repurchase plan authorization at third quarter-end. Primary working capital as a percentage of our trailing 12-month sales improved slightly year-over-year to 27.1% versus 29.1% a year ago, excluding SIHI's impact. As a result of declining sales as well as high levels of receivables from certain Latin American customers, our days sales outstanding increased year-over-year by two days to 86 days. Inventory turns were 2.5 times versus 2.8 times last year. Flowserve's balance sheet is well-positioned for the current market environment. Our trailing 12 month net debt-to-EBITDA at September 30 was at 2 times and 2.2 times on a gross basis. Shortly after quarter end, we completed the second amendment to our senior credit facility, which provides committed liquidity now through October 2020, and at a lower annual cost. Turning to our outlook for the remainder of the year. We are planning for current market conditions to persist with heightened uncertainty and reduced visibility into customer spending and order acceptance. Based on that expectation and our results year-to-date, we anticipate 2015 full year adjusted EPS at or around the lower end of our previous guidance of $3.10 to $3.40, with revenues to be on the lower side of our previous guidance of down 10% to 15% range. The stronger U.S. dollar that we've experienced throughout 2015 continues to present a significant headwind both to reported revenues and our earnings per share. As a reminder, our guidance excludes both SIHI's revenues and it's expected $0.25 per share net dilution for the year. Our adjusted EPS range also excludes the expenses associated with our realignment efforts, and below-the-line currency impacts, as well as other specific one-time events, such as the first quarter's Venezuela remeasurement, and this quarter's valuation allowance. Regarding our realignment activities behind SIHI that Mark mentioned, we now expect to spend approximately $125 million during 2015, and early 2016. This should generate approximately $125 million in annual cost savings, which will reach the annual run rate level by late 2016. From a cash perspective, we expect outflows of approximately $30 million in 2015 and $85 million in 2016, and the rest thereafter. With that, let me turn the call back to Jay.
John E. Roueche - Treasurer & Vice President-Investor Relations: Thanks, Karyn. Operator, we have now concluded our prepared remarks. We would like to begin the question-and-answer period.
Operator: Thank you. And our first question is from Chase Jacobson of William Blair. Please go ahead.
Chase A. Jacobson - William Blair & Co. LLC: Hi, good morning.
Mark A. Blinn - President and Chief Executive Officer: Good morning.
Chase A. Jacobson - William Blair & Co. LLC: So, Mark, I was wondering if you could comment on the pace of the backlog burn. Obviously, I think it's pretty clear the short-cycle work has been under pressure. But I'd like to kind of get a better understanding of how the projects that are in backlog are progressing relative to expectations. I know you mentioned that things are slower and some customers are pushing out shipments. I mean this is kind of a normal even in a normal market environment, but how much worse is it now than it was maybe a year just on average?
Mark A. Blinn - President and Chief Executive Officer: Okay. Well, I mean, in terms of your general comment around backlog burn, if you look at year-to-date, our book-to-bill has been relatively flat at 1, which is certainly different from what we saw in the last downturn where you typically see a book-to-bill well below 1. So – and what's causing a lot of that as to your point is some of these projects – well, first of all, we're not the gating item or the bottleneck as we've been a number of years ago. But the fact is as these projects are ongoing, but they're not running at a quick pace. And so, customers don't have the incentive to really take the product. They certainly don't want to store it on site, because the product can tend to deteriorate, things can happen to it ultimately. So we have seen that stretch out really during the course of this year. Not atypical when you see a downturn in the industry because these projects are ongoing, but the pace of them slow. Because if you think about it, a project predicting a process is like getting a bond in place, and you generate the cash flows from the processing of the refined or the refining product. So they just don't seem too anxious to get these things online. We've seen that persist. We expect that will continue to persist some through the rest of the year.
Chase A. Jacobson - William Blair & Co. LLC: Okay. And then on pricing, you mentioned a tough pricing. We've heard a number of different numbers from some of your peers as much as 10% to 15%. Can you give anymore color on what you're seeing in pricing and is it contained to the original equipment or is it also filling into aftermarket? Thank you.
Mark A. Blinn - President and Chief Executive Officer: Okay. Yeah. It's primarily on the projects. And we – again we saw this just for everybody to benefit, because I think people are trying to understand how we're going to maneuver through this cycle versus the last time. Keep in mind, in the last cycle when we came out, pricing was very robust. It never really got near those levels during this last period, this last run, but the fact is the first thing – area where you see a lot of competition, because this is around absorption of factories, these are big projects, these are the elephants that the sales organization likes to hunt. You do see a lot of price competition in that area, and we've seen that along the projects, not as dramatic as last time, but that's where you tend to see the pricing pressure on a lot of the – you do see some pricing on the run rate business. But keep in mind, a lot of that is around being able to respond quickly. There are smaller dollar items overall, and the aftermarket pricing has remained relatively stable.
Chase A. Jacobson - William Blair & Co. LLC: Okay. So, do you think the 10% to 15% pricing pressure is too much or...
Mark A. Blinn - President and Chief Executive Officer: I mean that's certainly something you would see on some of these big projects. I mean, if you remember, when we discussed project activity back in 2011, particularly in the Middle East, we'd see pricing, when you go to final bid, it get dropped 20% or 25% from where the bid levels were before. That's not unusual, particularly in the Middle East.
Operator: Thank you. Our next question is from Robert Barry of Susquehanna. Please go ahead.
Robert F. Barry - Susquehanna Financial Group LLLP: Yeah. Hey guys. Good morning.
Mark A. Blinn - President and Chief Executive Officer: Good morning, Robert.
Robert F. Barry - Susquehanna Financial Group LLLP: I just wondered if you could offer a little more color on how you think we should interpret the better aftermarket bookings this quarter. I don't know if you're seeing some deferred maintenance resuming for example or if things just happen to trend a little bit better this quarter?
Mark A. Blinn - President and Chief Executive Officer: Here is a simple way to look at it. Year-over-year parts tied to units is down. They are deferring a lot of what I would say are upgrade opportunities, they are like small capital projects around driving efficiency. There is some maintenance deferral. The offset has been continued execution on our end user strategies. So, over the years, a lot of the growth you've seen is just further penetration into existing customers, new customers, putting in new QRCs, taking advantage of the installed base. So, the market has certainly put a headwind to us. It's been mostly, not completely, offset by execution of our end user strategies.
Robert F. Barry - Susquehanna Financial Group LLLP: Got you. And then, I had a question on the new cost reduction efforts. How much of these $125 million in cost reduction efforts is assumed in your guidance this year? And then just how does the cadence, how much comes next year versus say 2017? Thank you.
Mark A. Blinn - President and Chief Executive Officer: Yeah, there is a little in the numbers this year we talked about. Now, we did see one of our divisions to get a good early execution in the third quarter, FCD. So, we saw a little bit of a benefit there, but the bulk of this will come in a run rate basis next year. And as Karyn talked about, we expect it to be in full run rate towards the end of next year. Also to my earlier commentary, I think I talked about two-thirds was, what I'd say, structural and in our view is sustainable through cycles, and a third was market reaction. Most of the incremental is more structural. So, we have responded to volumes and not that there is still – not a little additional volume response we can do. But now what we're starting to do is focus on really bringing in systemic change in terms of the structure, reducing complexity. As Tom and I talked – as Tom talked about, that will also go into our plant rationalization, product optimization. So, there's a lot of things that we're working on, and that we will continue to work on. The incremental is really are moving towards that direction.
Robert F. Barry - Susquehanna Financial Group LLLP: Got you. Thanks, guys.
Operator: Thank you. Our next question is from Steven Fisher of UBS. Please go ahead.
Steven Michael Fisher - UBS Securities LLC: Great. Thanks. Good morning.
Mark A. Blinn - President and Chief Executive Officer: Good morning.
Steven Michael Fisher - UBS Securities LLC: You talked about the chemical fees including some of the next round via North American crackers. How would you think that next round of plants be different for you than what you've experienced in the first round? If at all, just in terms of scope and overall magnitude of impact?
Mark A. Blinn - President and Chief Executive Officer: Yeah. I will look at the scope as being very, very similar and the magnitude not much, not much different, and obviously we're talking about some time in 2016 and possibly even 2017, beginning of 2017 for those next rounds. And remember there is two pieces. One is the new crackers themselves and then the second piece is the derivatives of the existing crackers that have now been built and now they're adding on additional chemical facilities to those. So, those are the two pieces.
Steven Michael Fisher - UBS Securities LLC: Okay. That's helpful. And Tom, you just talked a little bit – or you mentioned the reliability models. Can you just talk a little bit more about that and how big those might be and when we could start seeing some impact there?
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: Yeah. I mean, that's a – I would say a fundamental change in the business model that we think long-term is going to occur over time and that's where people get more of a driver on availability and reliability as opposed to just the cost. So, it factors in the total lifecycle of the product. We've gotten some good traction in our frame agreements in those areas, and we're seeing a lot of customers begin to get more interested in that model, and we have the set up to be able to do that in terms of the QRCs and the processes to bring that model to them.
Steven Michael Fisher - UBS Securities LLC: I mean is this expected to potentially be a swing factor for sales in 2016 or is it more longer term than that?
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: No, I would say it's a gradual ferreting of that sales over time with more and more customers moving toward that model, I would say over the long-term.
Steven Michael Fisher - UBS Securities LLC: Okay. Thanks very much.
Operator: Thank you. Our next question is from Joe Ritchie of Goldman Sachs. Please go ahead.
Joseph Alfred Ritchie - Goldman Sachs & Co.: Thanks. Good morning, everyone.
Mark A. Blinn - President and Chief Executive Officer: Good morning, Joe.
Joseph Alfred Ritchie - Goldman Sachs & Co.: So, Mark, my first question, look, you guys had really good gross margin expansion especially in two of your segments this quarter, and no incentive comp played some of the role there. But, how are you guys thinking about your ability to hold gross margins as we kind of enter 2016, just given the backdrop that you mentioned with OE pricing being down?
Mark A. Blinn - President and Chief Executive Officer: That's, I mean, the pricing is going to put pressure on it. We – unlike the last cycle, these projects are not a big part of our – certainly, the backlog in the revenue like they were then. But there's no question, the pricing environment is going to put pressure on the gross margins. Now on the flipside, we are looking at things like aftermarket mix and the business and then quite a bit of the realignment improvement efforts that are ongoing in the business. There's a list of things not – within the $125 million, and then other things we're working on as well. So, in general though, you should expect that the pricing environment will definitely put pressure, and a lot of our efforts are designed, not only to respond to current market conditions, but we're trying to look longer term over the next couple of years at the margin profile of this business and drive even improvement off of where we were at peak levels.
Joseph Alfred Ritchie - Goldman Sachs & Co.: Okay. And then maybe as you're kind of thinking about the restructuring efforts, how are you guys thinking about what portion of it is going to come through COGS versus SG&A? I know you gave us a two-third structural versus one-third market related. But, I'm just curious, it seems clearly a lot of the restructuring benefits this quarter that we saw in FCD were coming through the SG&A line?
Mark A. Blinn - President and Chief Executive Officer: Yeah, it's roughly about 60-40. And then I think as we look at additional opportunities, it's going to tend more to the cost of sales, because that's when we start rationalizing the facilities as well.
Karyn F. Ovelmen - Chief Financial Officer & Executive Vice President: But traditionally, it's run in that 60% cost of sales, 40% SG&A and that's what we're expecting as we're going forward. As Mark indicated, the change that we had from the $100 million spend for the $70 million benefit. The change there is really due to the mix of the projects. So, the original plan had a higher mix of closures. And the updated plan that we have has more head count reductions. So the head count reductions have that ratio of 1 to 1.3 of savings, so about $85 million of that $125 million spend or about $110 million of the run rate savings. And now that we've got an additional 5% head count reduction, in the $125 million for $125 million, two-thirds of that spend now is head count reduction. And the closures have a ratio, more of a 2.4 to 1. So, about $40 million of the spend will be for about $15 million in savings. And then just to follow-up on your question there, with regards to compensation, looking at that from a comparative perspective, just to give you some information with regards to being able to model that a little bit better. Q3 and year-to-date actual, if you look at just overall annual compensation, the impact would be about 100 basis points on Q3 and year-to-date through September. And then from a segment perspective, it's slightly larger in EPD, lower in FCD and then of course much lower in IPD.
Joseph Alfred Ritchie - Goldman Sachs & Co.: That's helpful color. Thanks, guys.
Operator: Thank you. Our next question is from Jonny Wright of Nomura. Please go ahead.
Jonny Wright - Nomura Securities Co., Ltd.: Good morning, guys.
Mark A. Blinn - President and Chief Executive Officer: Good morning.
Jonny Wright - Nomura Securities Co., Ltd.: Just looking to dig in maybe a little bit on the flow control side, actually the margin performance there is very strong. Can you maybe just kind of parse out the drivers behind that and where you're looking at that into 4Q and into 2016?
Mark A. Blinn - President and Chief Executive Officer: Yeah. So if you look across our segments, you can see the margins were – in EPD were certainly impacted by declining revenues and less fixed cost absorption across the SG&A line. It did have – about 90 basis points of that bad debt expense is in the number there as well. But as you kind of work across that, a lot of that is going to be where you see the project activity and the revenue decline and it's difficult to adjust the SG&A as quickly in that business, held up a bit by the strong aftermarket component. If you go across IPD, that's on the tail end of what I would say is our operational improvement in the business that you saw driving margins there. You also, including SIHI, saw, if you take out the purchase price accounting, some gross margin accretion, and that's because the SIHI gross margins were higher and we're starting to leverage that as well. The real opportunity in our industrial segment right now is on the commercial side, is taking the platform we have and we've got a significant opportunity to improve the way that business goes to market. In the valve division, the simple message is, they had a good quarter. It's been a very consistent performer, very, very efficient. It had good power shipments this quarter as well. So its foundation is very, very strong and it's able to execute on the strong MRO opportunities, good power shipping during the quarter. And then in the aggregate, as you look across the company, just cost control across the corporate expense. So that's basically what you see in our margin profile.
Jonny Wright - Nomura Securities Co., Ltd.: Okay. Great. And then, I guess, looking forward into 2016 then, you guys have talked about the incremental increase in the restructuring spend. As you sit there today, is the current kind of plan looking to hold margins flat, or do you think margins can potentially offset the sales decline next year? What's sort of the base case sitting there in a volatile market?
Mark A. Blinn - President and Chief Executive Officer: Well, the end of your statement is just that, it's a volatile market. I mean what we're trying to do is not only respond to the markets, but improve the operating platform long term. So as you look forward, a couple of things. As I mentioned earlier relative to last cycles, while we see price declines in projects, they're not going to be as dramatic as they were in 2008 to 2009, because we had a very strong pricing environment. So that should indicate less of an impact relative to prior cycles. But as you look at our business overall, we have more aftermarket business than we did before and our run rate business is growing as well. But the fact is, these are volatile markets. You don't know where your top line necessarily is going to come in with these push-outs and with the order activity, and that will tend to impact fixed cost leverage. So as you think through our business next year, a lot of it is going to depend on – the way I look at it is going to be the volume activity that we see. That's why I pointed you earlier to the fact that right now we have a book-to-bill of 1, and we saw significantly less during the – this period of time than the last cycle, but we'll have to see how that continues to flush out over the next couple of quarters.
Jonny Wright - Nomura Securities Co., Ltd.: Great. Thanks for your time, guys.
Operator: Thank you. Our next question is from Deane Dray of RBC Capital Markets. Please go ahead.
Deane Dray - RBC Capital Markets LLC: Thank you. Good morning, everyone.
Mark A. Blinn - President and Chief Executive Officer: Good morning.
Deane Dray - RBC Capital Markets LLC: I'd like to follow up on Joe's question and particularly Karyn's answer regarding the impact of the change in incentive compensation. So, was it 100 basis points, so that should flow through to the fourth quarter as well, but not necessarily into 2016? Is that correct?
Mark A. Blinn - President and Chief Executive Officer: Well, I mean, as you said, it's all the way it's aligned to shareholders. So, these aren't necessarily one-time items. We set up our compensation plans that really correlate to our commitments to our shareholders, particularly around our guidance. So as we set that, if we over-perform, as we've done in the past, that will tend to put an additional cost on incentive comp. And then, if we underperform, it will put downward pressure in a sense on incentive comp. So, what I want to suggest is, this is the way we operate our business similar to other things that you do in your factories to align your interest to the shareholders.
Deane Dray - RBC Capital Markets LLC: Okay, that's helpful. And then, this is more of an accounting nit, but we're trying to figure out where that $0.03 of bad debt write-off, where does it show up in your results? I couldn't find it in the Q. So, maybe you can share with us what happened...
Mark A. Blinn - President and Chief Executive Officer: Sure. Yeah.
Deane Dray - RBC Capital Markets LLC: And where we might find that.
Mark A. Blinn - President and Chief Executive Officer: So, it's in our EPD segment and it was about a 90 basis point impact on margins for the quarter. We took it in there. We did not adjust it out. And it really relates – the end user is certainly still intact, but the way our policy works, as you talked about, after a period of time, if we have visibility, the contractor did go bankrupt, then we go ahead and take a reserve against it. But at the end of the day, the product still may ship in the future, because they need it for the facility, but the way we do our accounting, we took the charge.
Deane Dray - RBC Capital Markets LLC: Where would we have seen it discussed in the Q, I'm just – we saw the announcement in the press release last night and the reference in the slide, but there was no other detail provided. Would we not see that discussed, is it not material, I'm just curious, for next time?
Karyn F. Ovelmen - Chief Financial Officer & Executive Vice President: It was highlighted in the press release. So you can see the impact on earnings per share on a consolidated basis, but materiality for EPD it's part of our normal reserve allowance analysis and didn't highlight it.
Deane Dray - RBC Capital Markets LLC: Understood. Thank you.
Operator: Thank you. Our next question is from Nathan Jones of Stifel. Please go ahead.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Good morning, everyone.
Mark A. Blinn - President and Chief Executive Officer: Good morning, Nathan.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Mark, I just want to follow up on Deane and Joe's there. If you're looking at that 100 basis points for the year on comp, you're looking at probably about $40 million. And as you said, that's largely levied to your delivering what you promised on guidance at the start of the year. So, what is the kind of – how should we think about how much of that comes back into expense next year assuming, say you give guidance in January or February and you actually hit that number?
Mark A. Blinn - President and Chief Executive Officer: Well, the way you think about it is – I mean, you've got a number of things in comp. I mean, what we're doing is, we're spending a lot of time on incentive comp, Nathan. But we have other things that go the other way. You way merit increases every year. So, I don't want to get too caught up in any one specific item. But the point is, you just take a step back. The way we design our comp is to – is aligned with our shareholders. So when you look at our guidance in any given year, you should assume that we have plans right around where our commitments are to the extent and it's all interlinked. I mean, you talk about our annual increases, our annual incentive comp or our bonuses, our long-term metrics that are all tied to the shareholders. So the simple way to think about it is, when we put a commitment out there if we exceed it, then we share the benefit with the shareholder. And if we don't, then it goes the other way.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: That's fair. And I would like to attack the margin question for next year in a different way. If we break down your business into, it's probably only going to be about 10% projects next year and say a 45% run rate and 45% aftermarket. If the pricing on project is down 15%, and say the run rate is down 3% that would get me something like a 250 basis point to 300 basis point headwind on margins in the absence of anything else. So just taking in isolation, is that a reasonable way to think about the pricing that's going to run through your revenue next year?
Mark A. Blinn - President and Chief Executive Officer: Well, all other things being equal, that's of course the way the math would work. But if you see a mix shift towards more or less aftermarket, that will impact margins as well. The other thing is the cost savings, how they come through and when they come through. As you can see, once we get a run rate of $125 million, that's significant in terms of the margin profile, right. On last year's revenues, that's – what is – that's about 250 basis points...
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Yeah.
Mark A. Blinn - President and Chief Executive Officer: ...of margin in and of itself, but that is a way to look at it. I think I have commented before, during – when I referenced last downturn, we saw the margins in the projects go down by literally 25% – 20%, 25% on all of 20% of our business, that was significant. So, the math works, but there's a lot of moving parts.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks. That's helpful on that part. And can you just give us an update on what you expect for incremental savings in 2016 over 2015 before you hit that full run rate?
Mark A. Blinn - President and Chief Executive Officer: I think that probably we have very little this year and we – right now we expect the full run rate to come in the end of next year. And I know that's frustrating, but let me tell you, when you deal with these things, they're anything but linear. I mean, we're talking about people, we're talking about various countries around the world and those are what drive the timing and achievement of these savings. But the fact is we just want to give you a general sense that we see a plan where we can execute these through the end of next year. And I think it's important to point out. Some of the – we're not going to stop with that. We still think we have significant opportunity in product optimization, certainly manufacturing optimization. You heard about our capital expenditures, we're acquiring a facility in China or we're going to build out a facility in China to move some of our valve manufacturing too. Over time what you're going to see is that's going to help us further optimize our global platform.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: I wouldn't expect you to be standing still, Mark, and thanks very much for the color.
Mark A. Blinn - President and Chief Executive Officer: Appreciate it. Yeah.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Bye-bye.
Mark A. Blinn - President and Chief Executive Officer: Bye.
Operator: Thank you. Our next question is from Bhupender Bohra of Jefferies. Please go ahead.
Bhupender Bohra - Jefferies LLC: Hey. Good morning, guys.
Mark A. Blinn - President and Chief Executive Officer: Good morning.
Bhupender Bohra - Jefferies LLC: Hey, so, just wanted to – if you guys can talk about SIHI, there was some commentary about like improving gross margins over there and how the integration is proceeding right now.
Mark A. Blinn - President and Chief Executive Officer: It's going well. We have – as Karyn mentioned it was basically flat to slightly positive, including purchase price accounting and if you take that out, was about $6 million positive. From an integration standpoint and Tom mentioned, we've been able to use some of their very capable capacity to rationalize some of our facilities into – but I would say in general, the real positive has been the ability to leverage some of their capabilities. We've learned a lot. We've learned a tremendous amount from acquiring this business and we're certainly excited about it, not only in the results that you've seen, but in the potential of that business to globalize it. The comment I made around margins was historically, if you looked our industrial segment, you saw roughly mid-to-high 20%s in terms of the margins. SIHI had a higher margin profile, gross margins I'm referring to in the low-to-mid 30%s. So that was my reference around the gross margins.
Bhupender Bohra - Jefferies LLC: Okay. And just a follow up with Tom on these – the new crackers, which are coming up down in Texas. We're talking about the first wave and you mentioned about the second wave to hit maybe in 2017, just explain us like at what particular – at point in cycle do we the Flowserve actually participate, like when do the projects or the products do actually go into these projects, like is it early cycle or like late in the cycle of the projects?
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: Yeah, I would say a little bit later cycle of the projects. And keep in mind that, we sell different types of projects into that cracker, again the residual plants that go in there. So, you could have a longer cycle projects that may last 8 months and you could have shorter projects that are 3 months to 6 months. So, it's a varied amount of the products into that – into those plants.
Bhupender Bohra - Jefferies LLC: Okay. And did we see that in the IPD, if you look at the aftermarket IPD, bookings were pretty strong ex-SIHI and the FCD bookings. What was that the factor over there?
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: Yeah. I would say if you looked at SIHI, I think Mark also mentioned that there is about 80% of that business is run rate business as opposed to large project.
Bhupender Bohra - Jefferies LLC: All right.
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: So you're seeing some of that run rate business hold up as we've indicated in previously.
Bhupender Bohra - Jefferies LLC: Okay. And any color on power end market, final question?
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: Yeah. If you look at the power market, I mean, there's a lot of activity going on with coal, now with the environmental requirements. So we're seeing a lot of coal plants being discussed in terms of switching to natural gas. That's the one thing that's happening. We are seeing again some environmental change outs in coal units themselves, which present some opportunities. And then we're also seeing a combined cycle natural gas build out in a number of places around the world, which is – it seems like it's beginning to get some steam behind it.
Bhupender Bohra - Jefferies LLC: Okay. Thanks a lot.
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: You're welcome.
Operator: Thank you. Our next question is from Brian Konigsberg of Vertical Research Partners. Please go ahead.
Brian Konigsberg - Vertical Research Partners LLC: Hi. Good morning.
Mark A. Blinn - President and Chief Executive Officer: Good morning.
Brian Konigsberg - Vertical Research Partners LLC: Couple questions for Karyn. With the discussion just around cash flow and balance sheet, the leverage ratio traditionally for Flowserve has been 1 times to 2 times on a gross basis. With you coming in, are you thinking about that differently, might you reconsider how you're looking at included cash and maybe some of the priorities, going forward?
Karyn F. Ovelmen - Chief Financial Officer & Executive Vice President: Yeah. So, right now, no change to our financial policies that we have in place. We'll continue to look at that, but the stated target has been 1 times to 2 times gross debt-to-EBITDA. We have a regular dialogue with our board regarding allocation capital and any decisions regarding our capital structure. Look, we've used that opportunistically over the last few years to, one, I think kind of right-size the balance sheet and use as a source of funds for buying back shares over the past four years, we've returned over $2 billion to shareholders through dividends and buybacks. And so this amount is significantly in excess of our stated policy over the longer term of returning 40% to 50% average of our two-year net income to shareholders. So we'll continue to work through that, continue to be opportunistic, but we'll continue to maintain a relatively strong balance sheet as we head into the markets that we are looking at.
Brian Konigsberg - Vertical Research Partners LLC: All right. Fair enough. And just separately, could you maybe just talked about receivables. So there has been, I guess, mix data points about some of the national oil companies specifically and the bad debt expense, even that you took in the quarter, just about getting paid by some of these customers that are under particular stress with oil where it is. Can you just talk about your experience or the concerns that cash flow generation could slow down on that factor or are you seeing it differently?
Karyn F. Ovelmen - Chief Financial Officer & Executive Vice President: We're seeing a little bit of a slowdown in terms of collections. In particular, in terms of our bigger customers, they continue to pay. And so at this point in time, we don't have additional reserves or concerns about ability, intent, otherwise we would have booked incremental reserves above the one bad debt that we had this quarter. But AR is down as overall just and primarily that's lower sales and lower pricing. But at this point, we don't have any significant concerns on anything in particular as we head into – at year-end but, of course, we continue to monitor that from a credit perspective, and are very, very diligent around it.
Brian Konigsberg - Vertical Research Partners LLC: Great. Thank you.
Operator: Thank you. Our next question is from William Bremer of Maxim Group. Please go ahead.
William Bremer - Maxim Group LLC: Good morning, Mark, Tom, Karyn.
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: Hey, Bill.
William Bremer - Maxim Group LLC: Tom, the question is regarding downstream activity and you voiced of we're all seeing many of these refineries at or close to nameplate capacity. Would you be able to give us a little more granularity of what you're seeing here domestically, and what you're seeing internationally, and how that affects your business?
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: Yeah. I mean, Bill, I would say overall the MRO activity on the downstream is – I would say has held up reasonably well versus the prior sequential. So we're pretty pleased with that aspect. And I would say in some of the businesses like the valve business, they've done pretty good on the aftermarket, the control valve business relative to the petrochemical area. So we're pleased also there. So I would say overall on the aftermarket, a good, I would say, steady performance, I would say, over the last three quarters, given everything that's going on in there. Now relative to the North America, I mean, we still see deferrals happening, but we still have our fair share of the aftermarket business.
William Bremer - Maxim Group LLC: Excellent. One for you, Karyn. You mentioned the DSOs came back couple days. The last question sort of voiced whether or not you're able to pull any more levers there, and given the pricing now and some of the end customers, should we just make the assumption that DSOs pretty much hold this type of level going forward?
Karyn F. Ovelmen - Chief Financial Officer & Executive Vice President: Look, the company continues to make, I think, a lot of progress in terms of working capital, okay, in terms of the approach to it. So, for example, from an accounts receivable perspective, on a systems level, some really solid progress in terms of generating reporting tools that help to focus on collections. So one of the things that we're looking at right now is really moving that focus from the site level, we are driving improvements in terms of collections to really generate more meaningful improvement in working capital. We intend to take a global approach and focus on the entire end-to-end process. So to your question, yeah, I think we're probably going to level out here a little bit in the short-term. But in driving a more wholesome improvement, we do expect to lever the tools that have been created to-date and the work that's been done to-date. But in order for us to drive a more dramatic improvement in working capital, we intend to standardize terms and dedicate a global collection team, automate dispute management, drive further discipline, compliance, so all the way through the entire sales process. So we plan to implement global standardized procedures which will range from order to entry to billing to cash application, from purchasing to payables and from record to report. So, as we put out these standard procedures in place globally over time, we would expect sustainable meaningful improvements, but it will take some time.
William Bremer - Maxim Group LLC: I look forward to it. Care to give us a target?
Karyn F. Ovelmen - Chief Financial Officer & Executive Vice President: Look, these types of shared service type models can take around two years or so to build. We would expect to see some tangible benefits within the first 12 months to 24 months, but real sustainability, once all the sites are rolled out and everything is back integrated, it's going to take up to about two years.
William Bremer - Maxim Group LLC: And my final question is on the underlying tax rate. You voiced the reason why it sort of jumped a little bit this particular quarter. Going forward and into 2016, where should we place it?
Karyn F. Ovelmen - Chief Financial Officer & Executive Vice President: We're still expecting to be in the range of around 30% to 31%.
William Bremer - Maxim Group LLC: Okay, great. Thank you very much.
Operator: Thank you. Our next question is from Joe Giordano of Cowen & Company. Please go ahead.
Joseph Giordano - Cowen & Co. LLC: Hi. Good afternoon, everyone.
Mark A. Blinn - President and Chief Executive Officer: Good afternoon.
Joseph Giordano - Cowen & Co. LLC: So most of my questions at this point have been answered. Just maybe if I can ask you about bid-ask spreads in the M&A space right now, particularly on – maybe on some energy assets, have we seen after the second leg down kind of a reevaluation of sell side expectations there?
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: In general, what we've seen on the smaller ones that are privately owned is the sellers are still looking for recent prices that they've seen. It just takes a little time for that to adjust out of their thinking. I mean, these are often family-owned businesses they started, they've been involved with for a period of time. Unless they have some real urgency to exit the business, they will tend to have long memories on strong markets and short memories on weak markets.
Joseph Giordano - Cowen & Co. LLC: Larger properties a bit more rational?
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: No – we primarily had been focusing on the bolt-on space, but you've seen what's happened generally overall with some of the other flow control assets and how they've moved.
Joseph Giordano - Cowen & Co. LLC: For sure. Okay. Thanks, guys.
Operator: Thank you. Our next question is from David Rose of Wedbush Securities. Please go ahead.
David L. Rose - Wedbush Securities, Inc.: Good morning. Thank you for taking my call. I just wanted to follow-up on the backlog and the margins, and just to get a better sense in terms of the last time it took a while to work through backlogs, you had some pressure on margins, I mean, the longer the products sit in backlog. You've done a lot of work on documentation to help expedite this. So, is there a potential risk that we've got these lower margins in there for a protracted period of time, and maybe you can kind of handicap for us what you are seeing as products are delayed, what the impact is on your existing margins?
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: Well, yeah, I don't know if you were comparing – I mean, the last time, some of it was our fault around execution that extended these things in backlog, and we've significantly improved on that. The fact is that the backlog relative to where we were in the last cycle and projects is lower, so there is less to actually flow through over that period of time. So what you see in our backlog right now is more of a mix of run rate business and aftermarket. Having said that, as you've seen this in the oil industry, last time, oil snapped back relatively quickly, and these projects were – there was still a sense of urgency to get these projects on line. One thing that is different is, we're certainly seeing that these projects aren't running at a pace in terms of delivery that they were before, and even slower than what we saw in the last cycle. So, I think the risk is, and we've seen this during the course of the year, is that the backlog, the delivery can extend, we're not worried that they're going to go away, because a lot of these projects are well underway. But, we could see where customers can push these things from quarter-to-quarter and in fact we have. To your point, what that's going to impact, obviously if – project backlog is typically in almost all instances your lowest margin backlog. If it gets pushed, you could say that that could help margins, the fact is, around the project or the gross margin in and of itself. But it does impact revenues, and this is what you're seeing in the EPD segment is the revenue decline was – it was difficult to offset with reduced fixed cost, and so you lose the fixed cost leverage in your operating margins.
David L. Rose - Wedbush Securities, Inc.: Okay. That's helpful. And then, if we can kind of segue into the inventory side of it, maybe you or Karyn can provide a little bit of color on what you're doing to better manage the inventory in this environment?
Mark A. Blinn - President and Chief Executive Officer: Well, part of what you see, and you can see it in some of our supplemental disclosures and our 10-Q is, when projects tend to get delayed in terms of delivery, you see a build in work in process, in finished goods. A lot of these projects are work in process. So it will tend to build there from an inventory standpoint.
Operator: Thank you.
Thomas L. Pajonas - Chief Operating Officer & Executive Vice President: And I would add, relative to supply chain, I mean we have efforts going on in terms of making sure that the material's coming in at the appropriate time to the facilities. We look at the cycle time on our products, and we always gravitate on projects relative to cost reduction and/or cycle time, and you'll see probably a little more effort on our part in terms of our research and technology area, gravitation towards lead times and driving more time out of the business that way. But a lot of effort going on in the supply chain right now.
Operator: Thank you. Our last question is from Ryan Connors of Boenning & Scattergood. Please go ahead.
Ryan Michael Connors - Boenning & Scattergood, Inc. (Broker): Great. Thanks for fitting me in. I wanted to talk about the water business. It's something I hadn't heard you mention in quite some time in your prepared remarks. And you did so this time a couple of times. I think Mark and Tom both mentioned desal. So, can you expand on that for us a little bit, and where exactly you're seeing that, what types of projects those are, and what the materiality is where you felt it was worth noting?
Karyn F. Ovelmen - Chief Financial Officer & Executive Vice President: Yeah. I mean, the water and wastewater business was up not too much, it was up almost about 3%, but, it's a small percentage of the overall piece. A lot of our desal business is categorized in our power business, and we are still seeing, we are still seeing some good opportunities in the desal both in the Middle East, India, and while that business hasn't returned to the levels that it was – it's constantly, I would say always in the background, we're now starting to see some early kind of feed work starting in that area. So, the expectation is that there must be some movement towards moving that now to proposal stages as the EPCs get down with their evaluations.
Ryan Michael Connors - Boenning & Scattergood, Inc. (Broker): Okay. And then, I'll throw this out there as well and just see if you have any comment. What – that CALDER business is essentially a duopoly and your biggest competitor there had a pretty notable development in the quarter, they signed a nine figure deal with Schlumberger to basically market a fairly similar device that they adapted for down hole drilling and fracking. They claim it's going to reduce pump needs dramatically there. Is that something where your team is looking at that as something you can adapt to your product as well or is that something – or have you seen that or any comment there?
Mark A. Blinn - President and Chief Executive Officer: I mean, we certainly see that as an opportunity, but obviously as you can tell from them, they are ahead of us on that.
Ryan Michael Connors - Boenning & Scattergood, Inc. (Broker): Okay, great. Well, thanks for your time.
Operator: Thank you. And we have reached our allotted time. Thank you, ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.